Operator: Good morning, everyone, and welcome to Cresud's First Quarter of 2017 Results Conference Call. Today's live webcast, both audio and slide show may be accessed through the Company's Investor Relations website at www.cresud.com.ar/ir, by clicking on the banner Teleconference. The following presentation and the earnings release issued last week are also available for download on the Company website. After management's remarks, there will be a question-and-answer session for analysts and investors. At that time, further instructions will be given. [Operator Instructions] Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the Company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the Company's earnings release regarding forward-looking statements. I would now like to turn the call over to Mr. Alejandro Elsztain, Chief Executive Officer. Please go ahead, sir.
Alejandro Elsztain: Thank you very much. Good morning everybody. We are beginning the highlights for the first nine months of 2017 in Page 2. As you probably know, the company now has decided to change devaluation method of the investment properties and this is going to be done next quarter the June 30, so not this balance sheet, the next one. Talking about the balance sheet this interesting balance sheet, the revenue of Cresud are achieving ARS58 billion from those ARS6.7 billion coming from agribusiness and Argentina urban and the rest from Israel. The operating income grew up to ARS2.9 billion comparing to ARS1.5 billion coming from agribusiness in Argentina and the rest from Israel. Net income we are achieving a gain of ARS3.5 billion from those ARS0.5 billion comes from Argentina and urban - agribusiness and Argentina business center, and the rest from Israel and to the shareholders of Cresud, a gain of ARS1 billion comparing to almost a lot ARS900 million of last year. In agribusiness we have a good conditions and we are going to see later that the overall region is receiving good climate and better yields of soybeans, and corn and expected on the budget. So the thing that is stable or sometimes below is the prices of the commodities of the region and the devaluation affecting to the region not affecting the reevaluation of the currency. We have planted more hectares from last year 205,000 hectares and we are developing hectares this year too. We are improving again the speed. We're going to explain you later. We began the cattle activity in Brazil this year because of the crisis of the cattle in Brazil. So we’re beginning to load two farms of Brazil with cattle. And this last quarter we have no sales but after the closing, yes there is no sale that we’re going to show you and explain. This is not included in the balance sheet but we made after 31 of March one small sale in Brasilagro that I think is very good example of realization of assets in Brazil. In the case of urban properties, the operational of the rental was very good and the EBITDA grew almost 32% comparing year-to-year and in the case of Israel business center, we had very good cases in two things one was the closing on the sale of Adama and the second the recovery of some of the price of the share of Clal. So we are going to explain you a little bit later. We can move to Page 3, and we can see the evolution on planted area. The increasing on the speed on the growth of this year of planted area is because of the purchase of the project in Maranhão region in Brazil. We bought land and we rented more lands and because of that there was a change of the last version to this 205,000 hectares of land in the whole region. And in development we are growing again, we are speeding more in Brazil and now we’re going to speed more in Paraguay after the split of the firm you remember that we have CRESCA firm was 50/50 we divided that and the half land we are now keeping in our hands in Brasilagro is going to improve the speed of development for next year. After the very good results in agriculture the project of ours in Paraguay achieving four tons of soybeans of yield in our farms so this is showing that we went to a good area and remember the price will come to $200 to $300 per hectare going to agriculture and achieving four tons of soybeans shows the quality of that project. So we are going to again begin the development of more land in Paraguay. If we move to Page 4, we can see the two say one that was explained on the balance sheet that was deferred and that was done in first quarter of last year, but the recent event subsequent act to the balance sheet. The partial sale of Araucaria this is 271 hectares of total land less than 200 of net land at 4.4 times the book value. That was the amazing price for the land this is more than $20,000 per hectare developed hectare and that we bought for less than $5000 when we bought it. So this is with the small sale for 200 hectare net we are paying 13% of the purchase of the 10,000 new hectares we bought in Maranhão. This is a kind of swaps of land selling very small amount of land to buy big pieces like the one we are going to explain in next page. The balance sheet will recognize this sale in the next quarter in the 30th of June. About the purchase we can see in the next page that we acquired and we rented. This is a combination deal that we bought 17,500 hectares 20,000 net and a part of that we rented 15,000 hectares so the combination will be 15,000 hectares more or less of sugarcane and more or less 10,000 for the other crops mainly for soybeans. This is for next campaign and this is big budget at the price you're seeing with BRL100 million for the 10,000 so is it BRL10,000 per hectare net, this is like a 3000 and something dollars per hectare but it’s going to be irrigated mainly for production for sugarcane in the north of Brazil. And the rest will be for the other crop like soybeans and corn. I will now introduce Mr. Carlos Blousson.
Carlos Blousson: Thank you, Alejandro. Hello everybody. Well I'd like to thank about the production forecast, global stocks and weather condition for 2016/2017 campaign and commodity prices. If you move to the Slide 6, let's start by talking about the production forecast and the global stocks. As you can see in the bar graph regarding Argentina soybean productions, in this campaign, it has remained stable at 56 million tons in comparison with last one despite less planting area and better yields. At the moment Argentina has a 60% of the harvest area which reference that production. Switching about corn productions, this has increased up to [39] million tons, 34% more than the previous campaign because the planting area has increased by 20% more than a million hector, and the weather conditions has been positive. What's more, the farmer has met the government measures. Now, let's move to Brazilian Brasil situations. In terms of soybeans, it's hit a record of 111 million tons thanks to good weather condition and well-keep stable plus the area and harvest has been faster. In case of corn, the production have increased 30% too, while getting to the record productions because the weather condition were positive, especially good productions. Talking about what's here in the last campaign in United States. Again with a record too, in soybean 117 million tons increasing more than 9% in the soybean productions because nice weather condition as well and in term of corn, it’s also ended with 11% because of good weather condition and more planting area, hitting a new record of 385 million tons. As a consequence of these good production in soybean and corn, we can see on this slide how the United States stocks growing during the last three campaign. And that led to the world record too regarding the corn world stocks they have increased to 22% to 23%, and the soybean global stocks has been slightly reduced to 23% due to the high demand which was had by the good South American production rates. If you move to the Slide 7, moving the weather condition and the commodity price, you can see the top of the graph, the weather condition has been good and generally in South America with sufficient rain level which directly impact the growing productions. So, let's go to the commodity price now. If you take a look at the graph, you will see that soybean production have decreased 5% year-to-year, and 5.1% in the last - the price, 5.1% in the last three months. Although these prices are low, the demand is increasing together with a record supply. Regarding corn prices, year-to-year decreased a little bit just 0.6%. But in the last three months, they have recovered 3.5% because the demand has strike quite well in this period. Thank you. Matias, please take over.
Matias Gaivironsky: Just one comment about the investment, I will speak some about the investment in Argentina and Israel. I will make some comments. In Page 8, the rental business had very thin quarter, Cresud that runs 64% almost of IRSA. Having the shopping centers, there were some recovery on the shelf of our tenant going to a 20% year-to-year so not adjusting to inflation, but not losing so much. And keeping very high occupancy both in the level of shopping that’s still is at 98% and in the office building that is 100%. The increasing sum of the rental of the office buildings from 25.6 to 25.9. So the combination of both business made very good quarter and we explained that in the IRSA conference. And in the next page about the investment in Israel, that IRSA runs IDBD through - and here we can see the many issues of this company that were the sale of Adama that were completed and gained $230 million in excess to DIC given a gain of ARS4.2 billion. The Clal share increased that was 37% to this balance sheet of the nine months given a gain of ARS2.3 billion. Some very good notes about the issuing bonds, the bringing out debt to the company to repay existing debt we were able to make notes at IDBD level almost NIS1 billion but were done at 5.4 interest rate comparing the Clal was yielding much more in the years before so passing 10%. So the company was able to raise capital in the local market and this kind of rate that performed and that something that is not so good was the swap agreement that the company was forced to do, was forced to sell 5% and do it by swap agreement. So decreasing our stakes to the 49.9% of cloud so these are two main news about the IDBD of the quarter. So now I will introduce to Mr. Matias Gaivironsky speaking about our depth of the business.
Matias Gaivironsky: Thank you, Alejandro. Good morning, everyone. We'll go into Page 11, important event or acquisition that we took about devaluation of the investment properties. We will give impact to this change for Cresud in the next quarter so then fiscal year that we plan to release around 8 September, you will see all the impact of the change in devaluation very important to remember that we have almost all our properties evaluate at historical book value of amortization - less amortization so the numbers are completely different that the deferred value of those properties. An example of that is what we presented in yields our commercial properties for this quarter that was already reflected there that the changes are significant for Cresud for the conciliation of sales and commercial properties for this quarter we eliminated that effect, we maintain all at historical value here but you will see that change going forward. Devaluation will include the shopping, the offices, the land buying for [indiscernible] purposes all the IDB investment properties and the farms that Cresud or we leave to third parties. So they want that we produce, we want revalue, so only they want that we leave to third-parties. Going to Page 12, we have here devaluation of operating income. So we started with farmland sales that in the last nine months period we haven't sold anything and in these nine months we sold 2600 hectares of [indiscernible] that generate positive results and also an adjustment in the price of mark that we saw last year in Brazil that we have an adjustment of the price, a positive adjustment for these nine-months period that a the ARS85 million pesos that we have for this nine-month. Then in the farming you can see here, most of the lines of the farming decrease from the previous nine-months to these - the current nine-month period. Basically remember that in the last year we had two effects one was the devaluation in Argentina that we maintain certain stock that because of the devaluation generate very positive results in the last year compared with appreciation or lack of devaluation this year so that generated the difference also with prices, the prices at the beginning of the campaign was what is today so that affected our stock so that you can see the decrease between ARS186 million in the previous year compared with a loss of ARS132 million this year. The same in cattle, prices of the cattle decreased and our holding result was much lower than in the previous year so that generate a negative. Some effect in yields in the last year we have a very good campaign with higher yields than what we are seeing in this campaign. Other segments here we have two affect, one is the mid-parking facility that we have losses in the mid-parking industry that Alej said we are again in fear that is our brokerage firm and service provider for farming that is generating very good results so that is offsetting our losses in the mid-parking industry. Page 13, we have evolution of the operating income of our urban segment Argentina Business Center for use and we have very positive result in all the rental segment malls, offices and hotels increase significantly and we achieved a 31% increase. Sales and development lower last year we sold more investment properties than this year. The last year we sold an entire building in Puerto Madero that was reflected in the previous year again some minor this polls in this quarter. Financial and others we have a negative evolution from ARS80 million gain to ARS71 million loss this year. In the last year we had one shot impact from the disposal of our building in Manhattan the [indiscernible] building and also lower results from Banco Hipotecario. Going to the Israeli business center, the operating income here we haven't included comparison because last year we only consolidated for three months IDB and now we have the nine months affect for real estate, supermarket was positive telecommunication is negative here basically when you deduct the amortization, the EBITDA became positive and also there are some assessment that we have to do because of the PPA of telecom that generate higher asset value against what is reflected in the Israeli books. And in other line here we have basically the results from the holding companies that they don’t have income, they only have the headcount and the expenses of maintaining IDB and DIC. In Page 14, we have the rest of the line so the operating income with all the affects that I just explained decreased a little, decreased in agriculture and in the Argentina business center basically because of the higher sales last year and increase in Israel from ARS3.5 billion to ARS2.9 billion in this nine month period. The net financial result there are several impacts here in Argentina basically we have lower losses basically of the devaluation that we had last year remember that in Argentina have a devaluation of 56% in the last year against the devaluation of 2% in this nine period. So decrease significantly the net FX losses. Then in Israel we are consolidating nine months against three months in the last year that means that we have much higher financial cost in Israel that were offset by the gain of the devaluation of the shares of Clal. Remember that we have to value Clal at market value and in this nine-month period we have a gain of ARS2.2 billion against the loss of ARS1.5 billion in the previous year. Then to achieve our net result the other important impact was the disposal of farmland that is in the line of discontinuing business that generate an ARS4.2 billion gain. So with this we finished net income for the nine-month period and positive ARS3.5 billion against losses on the previous year of ARS1.5 billion attributable to our controlling shareholders is ARS1,034,000,000 against a loss of ARS936 million in the last year. Page 15, revolution of our debt and the debt amortization schedule. There is no significant events in the last three months. Net debt remains stable at $322 million, weight amortization divided between 2017 and 2022. So with this we finish the presentation. Now we invite you to ask any question.
Operator:
Alejandro Elsztain: Before finishing, I expect more movement on the real state side on the agribusiness for the quarter. There is, like there was a small sale, in the case of Brazil, it's going to affect the balance sheet but maybe could be some else and yielding will be good. We're expecting finishing a good harvest. And the rest of the portfolio about the agribusiness is showing a big strength. Israel is bringing a lot of gains, and it's going to keep bringing after the next change of the return value for the next quarter. So, we thank you very much for everybody, and we see you soon in the final and the closing financial statement of 2017. Thank you very much, and have a very good day.
Operator: Thank you. This concludes today's presentation. You may disconnect your line at this time, and have a nice day.